Robert Bishop: Good morning, everyone, and apologies for the slight delay. Thank you for joining us for today's presentation. I'm Rob Bishop, Chief Executive Officer for New Hope Group. On my left, I'm joined by Rebecca Rinaldi, our CFO; and Dominic O'Brien on my right, who is our Executive General Manager and Company Secretary. This morning, we released our full year results for the 2025 financial year. Hopefully, you've had a chance to go through the presentation. But in any case, I'll step you through our key highlights for the year before we open up the line for a Q&A session. Despite a softening coal price and a challenging operating environment, 2025 was a strong year for New Hope, where we delivered another considerable increase in saleable coal production as we continue to execute our organic growth plans. Pleasingly, we've seen a significant improvement in safety this year with our 12-month moving average TRIFR decreasing by 35% to 3.22. It's positive to see these metrics improving, and we'll continue to focus on this area as we move into 2026. During the year, we navigated significant wet weather and logistics constraints at our operations in both Queensland and New South Wales. Despite these uncontrollable factors, the group delivered run-of-mine coal production of 16.4 million tonnes, up 33%; saleable coal production of 10.7 million tonnes, up 18% and coal sales of 10.5 million tonnes, up 21%. In terms of our financial highlights, we delivered an underlying EBITDA of $766 million and a statutory net profit after tax of $439 million. Both earnings results were largely impacted by lower realized pricing with the Newcastle export coal price hitting a 4-year low during the 2025 financial year. This year, our business generated $571 million in cash flow from operating activities, which funded investment in our organic growth pipeline and has enabled us to continue to deliver returns to our shareholders. On that note, I'm pleased to announce the Board has declared a fully franked final dividend of $0.15 per share. This brings total dividend for FY '25 to $0.34 per share, all of which are fully franked. Turning to safety. The safety of our people is a key priority, and we are focused on ensuring our people operate in an environment where they are unharmed. As I mentioned earlier, we have seen an improvement in our TRIFR and our All Injury Frequency Rate since we reported to the market last year. Pleasingly, our TRIFR now sits below the 5-year industry average for New South Wales open-cut coal mines. While there's still opportunity for improvement, it's pleasing to see the safety programs we put in place during the year have had a positive impact across our sites. Turning to our operational performance. This year, our Bengalla mine in New South Wales faced notable operational challenges due to significant weather events and logistics constraints across the Hunter Valley. These disruptions led to elevated shipping queues, increased rail cancellations and stock management challenges at site. Despite these headwinds, Bengalla mine delivered a solid performance, producing 7.9 million tonnes of saleable coal, just 2% lower than the previous year's output. Despite lower-than-expected production, Bengalla mine achieved an FOB cash cost, excluding royalties and trade coal, of $76.50 per sales tonne, within guidance range, and a 2% improvement from the previous period. The ramp-up of our New Acland mine progressed throughout the 2025 financial year, supported by commencement of night shift operations in the prep plant and increased workforce intake. As a result, the mine delivered 2.8 million tonnes of salable coal and continues to ramp up towards its target of becoming a 5 million tonnes per annum operation. Overall, strong operational performance at both sites contributed to an 18% increase in group saleable coal production, reaching 10.7 million tonnes. Group FOB cash costs improved by 8% to $82.40 per sales tonne. In terms of our financial performance, the group achieved an average sales price, including hedging, of $161 per tonne and an underlying margin of $64 per tonne. During the year, the thermal coal market was impacted by oversupply, economic uncertainty and a mild winter in Asia, resulting in a softening in coal price. Despite these market conditions, the group's low-cost assets remain resilient and continue to generate solid margins through the cycle. Our business generated $571 million in cash flows from operating activities, enabled continued investment in our assets, allowing us to return $347 million to our shareholders by way of fully franked dividends. This represents $0.41 per share paid during the period, which equates to a gross dividend yield of 12%. Our approach to capital management is underpinned by a disciplined focus on delivering sustainable returns to shareholders. Our two forms of capital returns are fully franked dividends and on-market share buyback. As at the end of 2025, the pace of the share buyback has slowed in conjunction with increase in the company's share price. As previously mentioned, our Board has declared a fully franked dividend of $0.15 per share. New Hope has a significant franking account balance, and we continue to utilize this value for our shareholders. Today and in conjunction with our results release, we announced the introduction of a Dividend Reinvestment Plan, providing shareholders with the option to reinvest their dividends. The DRP is in operation for the 2025 final dividend. Our group strategy is to safely, responsibly and efficiently operate our low-cost, long-life assets with a focus on disciplined capital management, providing valuable returns to our shareholders. We believe our investment proposition is underpinned by these six key areas, which I'll briefly touch on in the following slides. The outlook for our industry is strong. Our strategy is underpinned by the belief that demand for thermal coal produced from Australian operations will continue to play a vital role in providing reliable and secure energy supply to the world. Whilst we expect coal's share of global power generation to reduce over time, the sheer increase in global power demand will continue to support seaborne thermal coal exports into the future. In addition, the aging of existing thermal coal assets, combined with underinvestment in new projects suggest a potential supply shortfall and attractive pricing outlook for the industry. Regardless of pricing dynamics, our low-cost assets produce high-quality coal, providing resilience in cyclical environment and ensuring continued margin generation. In a year where the coal price has touched multiyear lows, our assets were still able to generate margins of circa 40%, which showcases our low-cost nature as well as the significant upside potential available to New Hope and ultimately, our shareholders. New Hope holds a key focus on delivering returns to shareholders. In the last year -- in the last 4 years, fully franked dividends have totaled $1.9 billion, which equates to nearly 55% of the company's market capitalization as at 31 July 2025. In addition, New Hope's share price has outperformed the ASX All Ordinaries by nearly 8x since its initial public offering in 2003. At New Hope, we take pride in our people and the communities in which we operate. We aim to effectively manage our economic, social and environmental impact to ensure the resilience of our business so that we can continue to create stakeholder value. Key aspect of being a responsible operator is rehabilitation. At our Bengalla and New Acland mines, we have disturbed approximately 3,000 hectares of land for mining operations and rehabilitated 36% of that disturbance. In addition, the majority of our land is used for agricultural operations once successfully rehabilitated. Looking ahead, we remain focused on the organic growth of our business throughout the continued ramp-up of New Acland mine, the sustained production at Bengalla mine and the development of Malabar's Maxwell Underground mine, all of which are low unit cost assets. Our pipeline targets a significant increase in coal production over the next 3 years, which represents low-risk, cost-effective growth. Looking ahead to the 2026 financial year, we are focused on remaining resilient, low-cost coal producer while executing our organic growth plans, which will enable us to continue to deliver shareholder value. Thank you very much. I'll now hand over to the operator to start the Q&A session.
Operator: [Operator Instructions] Your first question is a phone question from Rob Stein from Macquarie.
Robert Stein: Just looking at Slide 14 of your presentation, you've outlined the growth program or a growth profile. Just sort of chipping into it a little bit more, I noticed the Maxwell mine progressive ramp-up and the long-term rate there providing an indication of absolute volumes. Just wondering if you could comment on that as to how you see the ramp-up potential of the mine. And then similarly, just looking at the constant sustained basis for Bengalla, just thinking through the long-term CapEx requirements there.
Robert Bishop: Sure. So I guess with our organic ramp-up, we're looking to double our production from -- I think your first question was in relation to Maxwell mine, Malabar's mine. That is already in ramp up. Bord and pillar pit is fully operational. And really, the increase in -- material increase in tonnes will come from the longwall pit or the Woodlands Hill pit when we should see first longwall coal first quarter calendar year 2026. So from that projection, and you can see the uplift on that chart, that should get up to around sort of 6 million to 7 million product tonnes from that operation around about sort of FY '29 onwards. So -- and then I guess, with regards to Bengalla, growth project there has been very successful. Both the prep plant and the pit has achieved targeted production from that growth project albeit hampered by uncontrollable events offside. So you would have seen in the report, we touched on weather events and resulting logistics impact. So that's hampered us in the final quarter of the FY '25 year, and it continued to hamper us into the beginning of this year, and we'll be putting out guidance for this year, I think, in mid-November.
Robert Stein: So just as a brief follow-up, in Maxwell, you've got 6 -- sort of ramping up to the 6 million tonne rate there. That's what we should be looking at modeling and taking forward in terms of a view on the mine's potential?
Robert Bishop: Yes, I think somewhere in the 6 million to 7 million is what the expectation is. I guess where that asset is at the moment, it's developing up the first longwall panel. So obviously, when you get into a longwall pit, despite all the exploration you can do, you don't really get to understand geological conditions until you're down there. So that's progressing well. And like I said, we're expecting to get the first year of the longwall in first quarter of next year. So assuming everything goes to plan, that should get up to sort of that circa 6 million to 7 million product per annum.
Operator: [Operator Instructions] We'll now move to our webcast questions while we wait for any other phone questions to register. Your first webcast question reads, with thermal coal now having retraced back to $102 per tonne, what are your views on the state of the market. Anything we could look out for into the second half other than typical seasonality in coal demand in industrial production and renewable energy generation?
Robert Bishop: Yes, that's quite right. And I think we've almost dipped under $100 for the Newcastle index. So pricing is certainly challenging at the moment. We've seen good, consistent supply across the globe of thermal coal. And we've also seen the impact of low coking coal prices affecting thermal coal with some semi-soft products being pushed into the thermal coal market. So if you overlay a fairly soft demand for this calendar year, that's obviously put downward pressure on pricing. As to what that's going to do moving forward, it's a good question. I think there could be some restocking as we go into the Northern Hemisphere winter, which is those typical cyclical changes which you mentioned. But I think our view is we don't see a significant increase in coal prices in sort of the next 6 months or so. I think that oversupply, which I talked about, that really needs to push itself out of the market, and we'll see what this Northern Hemisphere winter brings.
Operator: Your next webcast question asks, during the new year, New Hope Group increased its equity interest in Malabar Resources Limited by 3% to 22.98%. Is the business looking to increase its equity interest in Malabar again this year?
Robert Bishop: So I guess overarching, our key focus is our organic growth, which we've touched on at both Bengalla and Acland. Yes, we did take an additional 3% in the financial year just gone, and that was really off the back of an approach from another major shareholder. I guess with all M&A, we consider acquisitions as a put forward. But obviously, any acquisition we do would need to meet stringent returns, et cetera. And obviously, with the soft market at the moment, we'd need to take that into account.
Operator: Your next webcast question asks, your final dividend is much higher compared to what your peers have announced. Are you able to sustain this level of dividend in the current coal price environment?
Robert Bishop: Yes, that's a good question. And as always, we like to reward our shareholders with dividends. And I think the $0.15 fully franked, which we announced today, has been well received. I guess our underlying assets really put us in the position to reward shareholders, the low strip ratio and as a result, low cost, we put a lot of focus on cost control. And as a result, we continue to make a strong margin even in the cyclical lows, which we're seeing right now. So we're confident that's going to continue, and we'll see what this year lies ahead for us.
Operator: There are no further webcast or phone questions at this time. I'll now hand back for any closing remarks.
Robert Bishop: Well, thank you for joining. And again, apologies for the delay in our start, a few technical issues, but it's been a pleasure delivering this result, and we'll see you next time. Thank you.